Operator: [Operator Instructions] Good afternoon, everyone, and thank you for participating in today's conference call to discuss Research Solutions' financial and operating results for its fiscal 2026 second quarter ended December 31, 2025. As a reminder, this conference is being recorded. I'd like to now turn the conference over to your host, John Beisler, Investor Relations. Please go ahead.
John Beisler: Thank you, operator. Good afternoon, everyone. Thank you for joining us today for the Research Solutions Second Quarter Fiscal Year 2026 Earnings Call. On the call with me today are Roy W. Olivier, President and Chief Executive Officer; Dave Kutil, Chief Financial Officer; and Josh Nicholson, Chief Strategy Officer. After the market closed this afternoon, the company issued a press release announcing its results for the second quarter of fiscal 2026. The release is available on the company's website, researchsolutions.com. Before Roy, Dave and Josh begin their prepared remarks, I would like to remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed or implied due to a variety of factors. We refer you to Research Solutions' recent filings with the SEC for a more detailed discussion of the risks and uncertainties that could impact the company's future operating results and financial condition. Also on today's call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. A reconciliation of those measures to GAAP measures is included in today's earnings press release as well. Finally, I would like to remind everyone this call is being recorded and made available for replay via a link on the company's website. I will now turn the call over to President and CEO, Roy W. Olivier. Roy?
Roy Olivier: Thank you, John. Our fiscal Q2 was a bit of a mixed bag in terms of results. We experienced a decline in our year-over-year transactions resulting results primarily because of one known churned account and a few larger customers that saw significant declines in volume. Excluding those accounts, we were down about 2%, which would be in the range of what we consider normal in the business driven by our corporate research intensity and academic budgets. We expect that decline to continue in the second half of the year. We do have some levers to pull in this segment that we think will improve the results, and we're working hard on those initiatives. We also continue to see increased competition in the B2C segment as reflected in our Q2 results and expect to see that headwind for the second half of the year. I'll also remind you that we focus on annual or multiyear agreements in the B2B versus the B2C business being primarily a month-to-month subscriber-based business. We will continue to focus on B2B annual and multiyear agreements as our primary growth driver going forward. All that said, we are making product and sales process improvements to increase our conversion rate in this business neatly. We are shipping improvements, both software and new data like adding patent data faster than we ever have. We'll continue to innovate and improve our sales process and marketing investment to improve results in this area. Josh will speak to some of those product improvements later in the call. We did see strong results in our B2B segment in both ARR bookings and net ARR bookings. The 47 net new deployments in B2B underscores that customers are excited about our current and future product development. The results reflect a better product sold through a disciplined and focused sales team. We saw good results across our corporate, academic, and upsell teams. We continue to see very strong year-over-year ASP growth at the pipeline stage. And as noted in our earnings release, we saw a 6% ASP increase during the quarter. To be clear, I'm very happy with our results in terms of operating and net income, EBITDA and cash flow. We do have work to do in terms of the overall SaaS growth rate, and we'll work hard to return that rate to 20-plus percent. I'd like to pass the call over to Dave to walk you through the fiscal quarter and full year 2025 -- I'm sorry, the fiscal quarter and FY '26 year-to-date financial results in detail, and then I'll wrap up with some comments and outlook for 2026. Dave?
Dave Kutil: Thank you, Roy. Good afternoon, everyone. Total revenue for the second quarter of fiscal 2026 was $11.8 million compared to $11.9 million in the second quarter of fiscal 2025. Our platform subscription revenue increased roughly 14% to $5.2 million. The growth was primarily driven by a net increase of 47 platform deployments from the prior year as well as expansion within our existing customer base through upsells and cross-sells. We ended the quarter with $21.8 million in annual recurring revenue, or ARR, up 14% year-over-year, which consisted of roughly $15.3 million in B2B ARR and approximately $6.4 million in normalized ARR associated with sites B2C subscribers. Total incremental ARR for the quarter was $560,000, the highest organic second quarter in company history. While we did experience softness in B2C ARR, this was primarily driven by a concerted pullback in certain marketing channels where trial to subscriber conversion was lagging. We are prioritizing cohort quality and retention over short-term B2C growth, which we believe positions this part of the business for more durable and profitable contribution over time. Please see today's press release for how we define and use annual recurring revenue and other non-GAAP items. Transaction revenue for the second quarter was $6.6 million compared to $7.3 million in the prior year quarter. The softness in transaction revenue was largely driven by previously discussed churned account and volume reductions from a small number of larger customers. Our total active customer count for the quarter was 1,321 compared to 1,384 in the same period a year ago. Gross profit for the first quarter was $6.2 million, up 6% from the prior year quarter. Gross margin was 52.4%, which constitutes a 350 basis point improvement over the second quarter of 2025. The increase is due to the ongoing revenue mix shift towards our higher-margin platforms business, which was also enhanced by expanding gross margins in the Platforms business. Platform revenue accounted for 44% of the revenue in the quarter compared to 39% in the prior year quarter. On a trailing 12-month basis, the company's blended gross margin now stands at 50.8%. The Platform business recorded a gross margin of 88.1%, a 160 basis point increase compared to the prior year. We have been able to continue to expand gross margins in the platform business as our labor and hosting costs continue to increase at a proportionately slower pace than our revenues. Gross margin in our transaction business was 24% compared to 25.2% in the prior year quarter. The decrease was primarily attributable to lower fixed cost leverage due to the reduced revenue base and some pressure on copyright-related margins. Total operating expenses in the quarter were $5.4 million compared to $5.7 million in the prior year quarter. Lower general and administrative expenses and lower stock-based compensation more than offset an increase in sales and marketing investments. We have been very intentional about keeping general and administrative costs contained as we allocate more resources towards growth initiatives, and we expect to continue driving operating leverage as we scale the business. Net income for the quarter was $547,000 or $0.02 per diluted share compared to a net loss of $2 million or $0.07 per share in the prior year quarter. The prior quarter's results included a charge of approximately $2.4 million that was related to the projected contingent earn-out liability for site. Adjusted EBITDA for the quarter was $1.3 million compared to $963,000 in the year ago quarter or a 36% increase. On a trailing 12-month basis, our adjusted EBITDA margin was 11.8%, a 230 basis point increase from the end of calendar '24. I would also like to point out that historically, Q3 and Q4 are typically our strongest quarters for adjusted EBITDA. Turning to our balance sheet. Cash and cash equivalents as of December 31, 2025, were $12.3 million versus $12.2 million on June 30, 2025. This includes 2 payments related to the site earnout, which consisted of a total of $2.6 million in cash and the issuance of approximately 487,000 shares of stock. Cash flow from operations was $1.4 million, a 35% increase from $1 million in the second quarter of fiscal '25, reflecting both higher profitability and disciplined working capital management. We continue to believe we can grow our cash balance in fiscal '26 while funding the remaining site earn-out obligations entirely from operating cash flow. We also ended the quarter with no outstanding borrowings on our revolving line of credit, providing additional flexibility in our balance sheet. As we move into the traditionally stronger back half of our fiscal year, we believe our balance sheet is well positioned to capitalize on high-return growth opportunities through a strategic approach. Looking back at the first half of the fiscal year, we delivered a meaningful year-over-year increase in net deployments, cash from operations and EBITDA. Even with top line pressure in B2C and transactions, we grew gross profit and improved our overall profitability profile, demonstrating the operating leverage inherent in our business model as we scale platform ARR. For the back half of the year, our objective remains to exceed fiscal 2025 EBITDA levels in each of the remaining quarters and to drive further growth in the cash flows generated by the business. We expect this to be supported by ongoing platform subscription growth, a more stable trajectory in transactions and continued rigor around operating expenses, even as we make targeted investments in sales, marketing and product. Taken together, we believe we are positioned to exit the fiscal year with a stronger earnings and cash generation run rate while also maintaining balance sheet flexibility to fund disciplined high-return growth initiatives. I'll now turn the call back to Roy. Roy?
Roy Olivier: Thanks, Dave. I'd like to remind our investors that we typically outperformed the first half of the year in the second half. We expect that seasonality to continue with B2B and transactions. One of the reasons we have seen strong B2B growth is due to where we are going from a product perspective. We believe we're on the right track and customers are voting with their wallet, confirming our belief. I think we've all seen the recent market response to AI over the last 10 days, which impacted our stock price like many others. We are clearly in a sell-first reaction to AI news. In our view, enterprise software that accelerates work does face some level of disruption. We continue to believe that our unique capabilities and data are not exposed to those tools or LLMs in general. We offer less hallucinations and better search results because we can search behind paywalls. We also offer rights management, which includes what rights you have with articles you have purchased, things like AI rights, reprint rights, et cetera. We manage the company or library's entitlements, which is what articles they buy one by one, what they subscribe to, what they have discount packages for and what their library already has in it. We offer unique tools to help researchers understand the quality and efficiency of articles they're looking at. While we continue to develop a full workflow tool like the Bloomberg terminal, but for researchers, we're also focused on delivering that unique capability within whatever workflow the customer has. That sometimes is their own tools. And moving forward, we will support companies that standardize on an LLM. We have that working now. I can use Claude or ChatGPT to ask a research-focused question, and Claude will use our site connector to generate a fully cited answer using only peer-reviewed articles, leveraging our unique data, our citation graph and our rights management data. The user can then ask Claude to talk to our products directly in the tool to get those cited articles and we will integrate within the rights management, the company library and their entitlements to deliver those articles. We can even report what rights they have for those that, in many cases, help them acquire the rights to do what they need to do. For example, they may want to summarize several articles in AI to prep for a meeting. We can help them do that in a copyright compliant way. Josh will speak to our new products shortly. In fact, I'll turn the call over to Josh to talk a little bit about our thinking on product strategy and usage. Josh?
Josh Nicholson: Yes. Thanks, Roy. Hello, everyone. So today, I want to talk about 2 fundamental shifts happening in our business that represent not just operational improvements, but a transformation in how research solutions creates value. These shifts center on our move to API and AI integration and our evolution from a document delivery company to what I call an Answers and access platform. These shifts have been ongoing, and I've discussed them in previous calls, and I think position us well for all the macro events happening with regards to AI. I'm going to talk about 2 things here, API and AI integration sales becoming infrastructure and then another theme later. The biggest change in our business is how customers are buying from us, both new customers as well as many of our original customers instead of just purchasing seats for researchers to log into our platforms, customers are now integrating our services directly into their own systems and AI tools. We're no longer only selling seats to a platform. We're selling infrastructure. top pharmaceutical company doesn't want their researchers to switch between 10 different tools. They want citation verification and Article Galaxy rights cleared content accessible from wherever their researchers already work, whether that's an internal AI system or a proprietary drug discovery platform. This is what we call API sales and is driving some of our largest contracts to date. These deals are typically 2x to 5x larger than traditional seat-based sales and they're stickier. When we are embedded in a customer's core infrastructure, we become mission-critical, not just another subscription they might cancel. Here's why these matter. Every company building AI tools for research faces the same problems. They need accurate citations, copyright compliance and access to scientific articles. Instead of each company solving these problems separately with thousands of publishers, we're building the solution once and making it available to all of them through simple integration. This leverages and repositions our partnerships with publishers, which have taken over a decade to form in some cases. We now provide access to more than a dozen specialized research data sets spanning different disciplines and regions from life sciences to physical sciences, from research articles to patents and to clinical trials and more. When an AI platform integrates with us, they're not getting access to one database, they're getting comprehensive coverage of global research. That breadth is what makes us valuable infrastructure. We're already seeing strong traction with this approach. Multiple enterprises are beginning to use our technology to power their internal AI research assistance. While still early, publishers are also in discussion with us about using our infrastructure to offer their subscriptions with AI access to their customers without having to build the copyright and citation systems themselves. The bottom line, we're moving from selling seat-based software subscriptions to selling infrastructure. Infrastructure businesses have better economics, higher contract values, lower churn and more expansion opportunities. One large pharma company is already making over 1 million calls to our API per year. Second stage I want to talk about is from documents to what I call Answers and Access. This brings me to this bigger picture. Research Solutions is evolving from a document delivery business to an Answers and Access platform. The old model is straightforward. Researchers need articles, we deliver articles transaction complete. The new model is different. Researchers don't start by thinking, I need this specific article. They start with questions. I need to understand this mechanism. I need to validate this hypothesis. I need evidence for this claim. They're looking for answers first, not documents. Our job is to provide both. We give them answers through site, helping them find relevant citations, verify claims and understand what the research says. When they need to go deeper, we give them access through Article Galaxy, delivering the full articles with proper copyright clearance. That's what I mean by Answers and Access. We're not abandoning document delivery, we're making it part of a complete solution that starts with answering research questions. The market is validating this approach. Customers who only used us for article fulfillment are now deploying site across their entire organization for literature view and research validation. Academic institutions are expanding from researcher access to broader applications and publishers who just saw us as a fulfillment vendor are now asking how we can help them create new revenue from AI usage of their content. Here's why this matters. These 2 ships, API integration sales and Answers and Access work together and reinforce each other. Our API approach makes it easy to embed our services wherever researchers need answers and our Answers and Access model means we're not just a commodity service, but mission-critical infrastructure for research decisions. This is why we're building integrations and developer tools, including a new API for Article Galaxy, which we have recently deployed. This is why we believe the long-term value of research solutions come from being the infrastructure that makes AI trustworthy for scientific research. No longer just in the document delivery business. We are in the research intelligence business in a world where AI is becoming the primary way people access information, the winners will be the companies that provide verified compliant citation-backed infrastructure that researchers and companies can trust. That's the future we're building for research solutions is going, and we're excited by that. Thank you, and I'll turn it back to Roy now.
Roy Olivier: Thanks, Josh. There was a recent post on X talking about there being 2 kinds of software companies. Type 1 is software humans click on, things like dashboards, CRMs, project management, other tools, basically products that provide a human interface to do a task. If all you do is automate a task, then AI is a threat. Type 2 is software bots. These include APIs, databases, authentication, infrastructure and more. These are functions that are unique like curated data, data behind paywalls, customer entitlement information, customer library information, rights information, et cetera. These have unique capability and typically have tolls or charges associated with usage. Our company started by having unique access to the world's peer-reviewed scientific content. We still have unique capability in this area today in many ways, including capability to help customers find obscure or hard to obtain content. We then added entitlement capability, rights information, the ability to store a corporate library, et cetera. From that, we created Article Galaxy to use these unique databases, authentication capability and rights information to service our customer. What's happening now is we're going full circle by applying our unique core capabilities to AI and LLMs. We continue to believe that we're well-positioned to take advantage of this transition to an AI world. Our strong B2B results give us confidence that we're on the right track. With that, I'd like to turn the call back over to our operator for Q&A. Operator?
Operator: [Operator Instructions] And we'll take our first question from Jacob Stephan with Lake Street Capital Markets.
Jacob Stephan: Maybe just first to start off, really nice B2B results. I'm wondering if you could touch a little bit on the pipeline there. Maybe kind of compare and contrast are the larger deals specifically related to the kind of headless API, AI model that you guys have been working on the last few quarters here?
Roy Olivier: Yes. The pipeline has grown consistently quarter-over-quarter and year-over-year. And a lot of the pipeline now is these "API deals" where we're integrating with larger customers in the workflow. Therefore, they're much larger deals.
Jacob Stephan: And maybe from a B2C standpoint, obviously, you have kind of the favorable student enrollment trends working back in your favor. Any kind of early anecdotal comments you could give us on how that business is maybe returning to growth in the second half?
Roy Olivier: Yes. I don't think we knew if it will. That's why I specifically excluded it when I said second half of the year, we'll see transactions in B2B business be stronger than the first half. What we're seeing today is 2 things. One is much more competitive digital marketing spend to attract trial customers. So somebody is out there doing Google search, they find us. Now they also find everybody else that's entered this space in the last year or 2, and we're all competing for the same keywords. So we're seeing a lot more competitive to get users to the platform. More importantly, we're seeing the conversion rate of trials to users lower than it was a year ago. In other words, we actually still attract as many trials as we did a year ago, we're just converting at a lower rate. And that's where Josh and his team are doing a lot of great work to add things like patents, patent data on top of the peer-reviewed scientific research data, new features and functionalities in order to try to move that conversion rate up. Anything you want to add there, Josh?
Josh Nicholson: Yes, I think that's right. I think we've always focused on having more stable, higher per user basis in B2B licenses. And so a lot of product decisions have been to -- around that, right? And so we're seeing this B2C2B sales motion, which oftentimes someone will come in, test it for a month and then they bring it to their whole team at the large pharma. So I think a lot of this is also us pushing more and with more focus on B2B, where the money is a higher average cost per user and also more stable contracts, yearly by default versus monthly, which is where most B2C is.
Dave Kutil: Yes. I will say also, in Q2, we did see a reduction in churn year-over-year. and that has continued into the third quarter here. So that trend is going in the right direction. It's exactly what Roy talked about with the conversion, trials to new subscribers that's really impacting us.
Jacob Stephan: Maybe just one last one. Dave, you've been there for a couple of months, it seems like now. Maybe top 3 things that you're kind of looking at and to make improvements at.
Dave Kutil: Yes. So we are really looking at what we can control. So for me, it's the operating expense rigor I talked about. We're going through. We have a cost savings program that we're looking at all of our vendors, looking for redundancies and really trying to improve that, and we're excited about the results there. So that's the first thing. Second thing is really looking into and diving in with the sales team and really trying to understand the root cause of some of the churn in the business and make sure we're proactively addressing that. And then working capital management is really important to us. Again, one of the things we can definitely control. We're proud of the results that we've had with cash flow from ops, again, funding the site earn-out payments out of operating cash flow, and we continue to manage that and look for cash to increase. So we're meeting on a weekly basis and making sure we're achieving our projections and having a forecast that we can deliver to shareholders.
Operator: We'll take our next question from Richard Baldry with ROTH Capital.
Richard Baldry: You've done a good job talking about using AI sort of at a productized level externally. Talk also about -- it seems to me there's a lot of room for adoption of AI technologies internally to lower costs or improve output speed, efficiencies, whatever in areas like development or back office. So how far into that sort of process do you feel like you are? Do you think you can meaningfully control as you grow or lower costs on the fly?
Roy Olivier: Josh, do you want to talk about what you're doing in the software area?
Josh Nicholson: Yes. We are fully leveraging the most advanced AI on the product team with the development team, that's AI for software development, AI for review, software that is also automatically looking at accessibility. I've probably become annoying internally just because I'm such a champion of it. And I think it's pretty dramatic in the deployment and how quickly we're moving things. And so that has really opened my eye up, and I think that also builds into our strategy, recognizing how powerful these AI tools are and how we can exist in this world in a very defined way where our strengths are leveraged. And so I think it's making everyone not just on product, I've done a lot of internal trainings even as of today, but across the team, a lot more productive, a lot more efficient and can really extend from product development, better interactions with publishers, better interactions with customers, and I would say, while I'm really excited by it, and we've made a lot of progress, there's still more to do. And so I think there's a big exciting upside on that just because it has transformed the way that I personally work, our team works, and I think that's starting to permeate throughout the company, which is really great.
Dave Kutil: I was just going to say having the right tools is very important, and that's exactly what Josh has identified within the organization is having the right tools to be able to produce the analysis from our side in the back end of the business that really prioritizes those areas where we can save time and money. And we're still in the early innings of this. Like Josh said, he's doing training this week, but it's expanding rapidly. And you can see the amazing thing is you can see the use cases immediately. And you could see the results in savings in time and money right away. So early innings, but we're definitely -- we have the right tools at our disposal right now.
Roy Olivier: Yes. I would just add, AI for us so far is really a productivity multiplier. It's not a cost reduction product. It's being used heavily in development. Josh has been training people internally how to use the new QA tool set to develop sophisticated reports that we previously paid an external data scientist to do. And in fact, a project we talked about in the meeting today related to identifying specifically dollars associated with this B2C2B flow that we talk about from a sales perspective, we'll do all of that in AI using basically quad tools. However, on the other side of the coin, like the 60 rough people we have associated with the DocDel business, they do things that it's hard to replace with AI. So there may be some slight savings opportunity there. But most of what we've seen with AI so far has been improving productivity dramatically amongst highly paid softwaregers, FD&A people, data analysts, et cetera, not necessarily a cost reduction at this point.
Richard Baldry: And then last for me. If you look at where you rise to the level of sort of infrastructure and it becomes a much higher ASP, can you talk about how large that market opportunity is, whether that's -- or what number of verticals it can apply to sort of give us an idea where that can take for you up to over the next few years if that traction continues to grow?
Roy Olivier: Well, I think we're still serving the same vertical markets and have a similar TAM that we've had before. I think the ASP potentially is 20%, 30% higher than it is now. But quite frankly, we are going to have to explore and develop some new pricing models because of the different way the products work. When we talk about the MCP product and AI, we talked a little bit about -- it's really a number of calls analysis as opposed to users per week per month analysis. So we've historically always looked at how many users are using the product. Looking forward, some of our customers that have implemented this technology are doing 200,000 calls a month, approaching 300,000 calls a month. and that's going to be a different pricing model and how we share that model with the publishers to represent their contact with the MCP, this is going to be developed and probably fine-tuned over the next 12 months. So I don't think we fully understand yet the pricing side. We do know it's going to be a lift from where we are today or we believe it will be a lift from where we are today. And frankly, we are excited about the change because user seat licensing is very different from the massive usage you see from these AI engines and people asking questions of them. Anything you want to add to that, Josh?
Josh Nicholson: Yes. I'd just say on the kind of sales cycle and go-to-market, the trial is really kind of a technical buyer and maybe some executives, they're looking at this. It seems shorter anecdotally where it's, hey, here's a week, you test it out, it serves that, it's plugged in, and then it's used by potentially thousands of people. This is different from, say, "Hey, we're going to invite 30 people. We're going to train people. We're going to repeat that training." Maybe one guy doesn't like it, maybe one person does like it, et cetera. And so I think the sales is a lot more straightforward. It's a lot more repeatable. It's a lot more clear also on what we're serving. And then again, if you build it into what they've already invested internally, sometimes in some of these competitive tools, it really scales. And so I think it's focusing us, and I think that's a good thing. And yes, our tiered model of API calls probably will evolve. We do scale it up with usage. And so that's also a nice thing as it gets used more, it scales up per call. So pretty excited about that.
Operator: [Operator Instructions] We'll take our next question from Derek Greenberg with Maxim Group.
Derek Greenberg: I wanted to first touch on just the transaction segment. You had called out you expect further declines in the second half. I was wondering if that's on a year-over-year basis or sequentially from current levels. And I was also wondering in the prior quarter, you had called out that it was due to churn from one large account as well as a pullback from other large customers. I was wondering if you've seen any additional churn or pullback from other customers or if the declines are largely related to that customer set you previously mentioned?
Roy Olivier: Yes. In terms of transactional business, it is predominantly one large customer churn that we expect to continue. We typically do more DocDel in the second half of the year than we do in the first half. We expect it to do more in the second half looking forward than it has done in the first half of this year. However, we still do expect to post a year-over-year decline because of the churn. I think I mentioned somewhere or maybe it got removed from an earlier draft that if you pull out the churn customer, transactional business was down about 2% year-over-year. That's within what we would consider to be normal seasonality and usage that we see in that business. There are sometimes when we have an unexplained decline because of research intensity. There are sometimes we see an unexplained increase because somebody else has started a research spike into some particular area. And we look at those 1,300-odd customers that are buying DocDel from us, really the top 10, top 20 customers, again, if you pull out the churn, are the ones that are driving most of that variability, like a couple of our biggest customers, they bought less this year than they bought a year ago. And we call them. In fact, one of them is so big, I call them personally because I deal with them and I'm like, why are you guys down? And he's like, "I don't know. I guess we're just doing less research." So sometimes the customer itself doesn't know why they may be up or down on a year-over-year basis. But anyway, so we do expect second half to be stronger. We do expect to continue to show a year-over-year decline because the churn customer. And we'll see what happens with the kind of the normal seasonality where we fluctuate between a slight loss and a slight gain. We'll see how that works.
Derek Greenberg: And then just on the API business, I was wondering if you could maybe talk about if you see potential threat in, say, like LLM providers going out and licensing similar content to what you guys offer or if you're largely insulated from that and benefit from having the long tail of research? Or if you could just talk about that a little bit more.
Roy Olivier: I mean just to be clear, think about the API business as it's either an API or it's what's called an MCP, which is basically a connector to an LLM. So it's either the customer developed their own internal tool set and they're using our API or we're connecting to an LLM where you're basically asking questions of Claude that's talking to site to get you a better answer than it would get over the general Internet. And then once you get the fully sided answer, you can again ask Claude to get you the articles, and we will check your entitlements, we will check your rights. We'll go get you the articles. We'll not only deliver them to you wherever you are, but we'll stick them in your corporate library so that you have official "ownership of those" and they're in your company library. So when we talk about API, the API and MCP function very, very similar. Just one is targeted toward customers that have internally developed tools and the other is specifically to work with an LLM. To your second question about the -- will the LLMs duplicate that capability? None of them do today. They ultimately will start to duplicate some of that capability or a publisher will create their own MCP to connect to an LLM. And so for example, if you pick the top 5 publishers, they will probably all create their own MCP that you can connect to an LLM that's going to get you a better answer than just abstract data, but not the full article. And as we see that happen, -- what -- where we will play is the long tail of medium and small publishers that don't have the capability or the wherewithal to create their own MCP, #1. And #2, people don't want to have 200 connectors into their LLM, just like our largest customers don't want to negotiate 200 agreements with 200 publishers. So they may have direct agreements with the top 5 publishers, we fill the gap of the next 100 or 150 publishers. And I think the same thing will play out in that MCP space, basically the AI space. Josh, anything you want to add to that?
Josh Nicholson: Yes. I think just to be clear, there's 2 endpoints here. There's really calling site, which is to get an answer and then calling Article Galaxy to get access. And so again, most of our platform customers on Article Galaxy, they're not using API today. Our API was a bit outdated. We refreshed that. We've relaunched that, and we're now starting to push that internally. But I think going to where there's massive amounts of users is going to drive usage across both of those. I think Roy touched upon this, but again, just to expand upon it, we're also working with publishers to say, "Hey, we already have your content, we have the infrastructure. We can handle authentication. We can handle tracking of usage." So the AI usage of articles, which is something entirely new. We can sell articles on your behalf. We can enable entitlements via subscriptions, via tokens, all these different things. we can do very seamlessly with these different chatbots, again, Claude, internal Claude, ChatGPT, et cetera. So we're having active conversations with publishers to try and help them navigate this. They don't have the wherewithal to necessarily build this unless they are one of the big 5. And so we're working as an infrastructure partner. And I think that could open up some potentially interesting new revenue opportunities where maybe there's a cut of subscriptions or there's some other fee. And I think that there's 2 levels there. One is exploring how do we serve current publisher customers and then how do we scale these up to potentially anyone using them, so LLMs from the public. So excited about that progress. And I think, again, very well positioned with our relationships, the technology and then the technology really helps both products. T he last thing I'll say, there was this assay that stood out to me. People have been talking about killing the "PDF" for a long time. I think the PDF is here, but I think what I found interesting is he described this move to research objects, right? When people want to get answers, they will need a full text article, certainly for compliance reasons, but they're starting to get these objects, right? And then these [indiscernible] statements, the chunks that we have are research objects in many ways. And so again, really excited about kind of where we are, and I think that's proving out internally with the B2B and then there's a lot more room to run. I'd also say this is we've seen some new customers outside of the space and so looking at financial institutions, hedge funds, investment banks, things like this, utilizing APIs for some of their own research.
Operator: We'll take our next question from George Melas with MKH Management.
George Melas: I think my question was largely answered by the previous answers, but maybe let me ask a little bit more, and I don't know if you can answer, but how do you see your relationship developing with that long tail of publishers, so not the top 5. But -- and how many have you had sort of discussion about doing this DocDel with all of them? And how are they reacting? What -- how do you see that developing? And what are the hurdles to getting that new functionality and that new service that would benefit both them and you?
Roy Olivier: Just to provide a little bit of a foundation. I mean that long tail has been our sweet spot for a decade, right? I mean our larger customers -- largest customers we have, they negotiate rights direct for everybody else, and then we typically walk in with that long tail. And Josh, I'll let you talk about our progress in talking with the long tail about AI rights, DMCP, et cetera.
Josh Nicholson: Yes. I think if you look at how things are sold, this is a real pain for publishers, right? They are having subscriptions, their subscriptions are being challenged. They're like, what do we do, right? They have our content being used in AI, et cetera. And so we do have a sweet spot with these publishers, but I actually think there's opening up relationships with new publishers where we haven't spoke to them. Some of those large ones where I think there's cooperation and then small ones that maybe have just been hold out for other -- some other reason. So I have had a slate of calls with small, medium and large publishers on this topic specifically. I have more coming up. And I think what is interesting is that, A, we're publisher neutral; B, we've already done a lot of the processing of their articles. So there's no upfront cost to them. We're already building this. We show them, "Hey, here's how you can monitor usage. You want to turn it on for a customer, we'll handle that. You want to turn it on in a specific way through Access Justice Journal or that we'll handle that. And so there's been a real pull, I would say, because we have this long-term relationship. And because I think it also accelerates that other part of that business where it's not just driving AI reads necessarily, which will help them demonstrate the value of their product, but also in the end, drives DocDel. Because at the end of the day, people will still need full text or they'll need full text for the AI to use based off these chunks. And so I think it's been a good evolution, and I hope that evolution continues because I think it strengthens us kind of in this new world.
George Melas: And do you see some impact on revenue at this point right now? Or is that just way too small to even significant impact?
Roy Olivier: I think it's still pretty small, but we're starting to get some traction there.
Josh Nicholson: Yes. And I think that's part of this puzzle, right? There's different ways of someone wanting to use AI with an article, right? There's RightFind, which we had talked about previously, and that's AI rights at the individual article level, but people also want AI rights for a group of articles for hundreds of articles or for thousands of articles, right? And I think this MCP and this work that we're doing with publishers really says, hey, you can sell a subscription and you can sell a subscription with AI on top of it. We are the infrastructure for that, the authentication, the tracking, the usage of that, et cetera. And I think that helps publishers tremendously because they're under budgetary impact and the usage is not just DocDel declining, but subscription declining as people are reading less, right, because of this zero-click phenomenon. And so I think it is too early to kind of tell, but I think we're in the right place. And we do see these big publishers making big announcements with MCPs, but I think we have a somewhat differentiated moat with our citation graph, the DocDel and RightFind aspect of it and the fact that we're not a large publisher that might be off putting for a smaller publisher to work with.
George Melas: And with the new customers, and you've had real good success with signing up new B2B customers. Are they embracing that in a meaningful way? Do you see sort of a new trend there?
Josh Nicholson: Yes. I think, again, we have a floor for the API pricing, which is significantly bigger than our average contract price already, and that's just the floor. So again, I think some of this wasn't our focus previously. We've shifted a lot of our energy to understanding this. And I think as Roy highlighted, some of the business models around that will evolve, but it's highly encouraging because I do a lot of these API sales because there's some technical aspect of this. But it is almost in some ways, more straightforward because it's easier to test. You kind of see the improvements right away. And then the value is pretty obvious, right? You want to go spend 10 years and talk to every single publisher, go ahead and do that. You want to work with us, get access to patents, get access to research articles, give the ability to buy, rent an article, all in one place, it's significantly easier. And so that pull is there. And I think, again, the larger invoices are going out to reflect that.
Operator: At this time, there are no further questions in queue. I will now turn the meeting back to our presenters for any additional closing remarks.
Roy Olivier: Well, thanks, everyone, for joining us today. As a reminder, we will be attending the ROTH Capital Partners Conference in Dana Point, California on March 23. Looking forward to speaking with you then. Thank you.
Operator: Ladies and gentlemen, this concludes today's presentation. You may now disconnect.
Roy Olivier: Thank you.
Operator: Thanks.